Operator: Good morning, ladies and gentlemen and thank you for standing by. Welcome to European Wax Center's Fourth Quarter Fiscal 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a Q&A session. [Operator Instructions] On the call today are Chris Morris, Chairman and Chief Executive Officer and Stacie Shirley, Chief Financial Officer. I would now like to turn the conference over to Bethany Johns, Director of Investor Relations. Ma'am, you may begin.
Bethany Johns: Good morning, everyone. Thank you and welcome to European Wax Center's Fourth Quarter and Full Fiscal Year 2024 Earnings Call. On today's call, Chris Morris will discuss his first two months with the company and share his initial observations and priorities. Then Stacie will discuss our fourth quarter and fiscal 2024 performance and fiscal 2025 outlook. Following the prepared remarks, the team will be available to take questions. Before we start, I would like to remind you of our legal disclaimer. We will make certain statements today, which are forward-looking within the meaning of the federal securities laws, including statements about the outlook of our business and other matters referenced in our earnings release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings as well as our earnings release issued today for a more detailed description of the risk factors that may affect our results. Please also note that, these forward-looking statements reflect our opinions only as of the date of this call, and we take no obligation to revise or publicly release the results of any revision to our forward-looking statements in light of new information or future events. Also during this call, we will discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in our earnings release. A live broadcast of this call is also available on the Investor Relations section of our website at investors.waxcenter.com. I will now turn the call over to Chris Morris. Chris?
Chris Morris: Okay. Thank you, Bethany and good morning, everyone. I'm thrilled to be with you all today on my first earnings call as Chairman and CEO of European Wax Center. Before I begin, I want to thank my predecessor, David Berg, for his passion, dedication and leadership since joining the company in 2018, and especially after resuming the CEO role last year. His efforts to sharpen our focus on our core waxing operations, guest engagement capabilities and organizational structure have better positioned us for long-term growth and success. I look forward to continuing to work with David through our roles on the Board. With that said, I'd like to start our call today by sharing what initially attracted me to European Wax Center, and why I'm so excited about our future. First, we're the industry pioneer with a meaningful white space opportunity. We believe out-of-home waxing is a $7 billion market opportunity and yet we're still a fraction of that. We professionalize this space and are the only truly national player at about 11 times larger than our closest competitor. In other words, we believe we are by far the best positioned to leverage our scale and grow as a category leader. Next, we offer an unparalleled guest experience that serves a recurring need with three-quarters of our sales generated by loyal core guests. One thing, I've learned in my career is that, creating an emotional connection with the customer is critical and that happens when you consistently deliver on your brand promise. The confidence the guest feels after one of our services plays a huge role in whether they will come back. At EWC, we like to say, they walk in and strut out. Delivering that feeling builds loyalty and that's exactly why we've seen such stability in our core guests. Lastly, I've learned that what makes this brand, so unique is that, it's comprised of so many talented and passionate people more than 10,000 associates across the country managed by more than 180 franchisees, who are driven to win and determined to reach our full potential. As I wrap-up my first 60 days with the organization, I appreciate our strengths even more and my conviction in the future of EWC has only grown. We're at a pivotal time in our growth journey with an opportunity to elevate our infrastructure to support both our existing footprint of more than 1,000 centers as well as our next phase of growth. This aligns very well with my career operating, developing and reinvigorating consumer brands over the past 25 years. I look forward to leveraging these consumer-facing experiences at European Wax Center. Since joining the team, I've been immersing myself and the brand by visiting centers across the country, and listening closely to our key stakeholders to better understand the challenges we're facing and the opportunities ahead. I want to take a moment to focus on the heart of our business and as a franchisor, our primary customers, our franchisees. Their success drives our success. We're fortunate to have so many talented and committed operators taking care of our guests every day. Strong franchisee partnerships based on mutual trust, respect and credibility built European Wax Center what it is today the undisputed leader in out-of-home waxing and will be the basis for our growth going forward. In my conversations with franchisees, they have repeatedly voiced their confidence in and commitment to the long-term growth potential of this brand. However, they are feeling the pressure of declining transactions and profitability. My key takeaway is that our marketing approach and operational infrastructure have not evolved at the pace of our unit growth in recent years. At the same time, the macro environment has become more challenging which has led to pressured consumer spending, especially, among new guests. As a result average unit economics have softened. While we can't control the environment, we can better adapt to it. The good news is we believe we have our arms around our challenges. We've identified our opportunities and the work to reignite our growth is well underway. In the near-term many franchisees have paused their new center growth plans as we work to stabilize and reaccelerate the business. But we do expect 10 to 12 gross new centers to open this fiscal year. At the same time, franchisees are closing underperforming centers due to ongoing profitability pressures, individual franchisee challenges or a desire to consolidate centers within the same market. We've recently added development resources conducted a full network review and established a proactive process to better assess franchisee health and closure risk. We've analyzed top-line performance, ticket trends, market penetration and operational KPIs. As a result, we estimate that 40 to 60 centers could close this year. We are closely managing this situation with franchisees and we've made rapid and substantial progress understanding the key factors at play and more importantly what we should do about it. I've been assessing everything from our guest experience to technology systems and pricing models leaving no stone unturned as we work to resume long-term unit growth. And while nine weeks isn't enough time to finalize our long-term strategic plan, my near-term priorities for this business are clear. These are: number one, developing a robust data-rich marketing engine that drives traffic to centers; number two, cultivating a more effective service-based infrastructure to enable franchisee success; number three, implementing a more sophisticated development approach focused on thoughtful and profitable expansion; and lastly number four, assembling a world-class management team with the skill set and expertise needed to address these opportunities and achieve sustainable long-term growth. I cannot emphasize enough that our franchisees and I share the same goal to return the business to sustainable growth both at the center level and for the network as a whole. I believe that if we execute these priorities four-wall performance will improve and we will reignite positive unit growth by the end of 2026. I'll first touch on our efforts to develop a robust marketing engine that drives traffic, which should in turn increase revenue and improve four-wall profitability. The beauty of our model is that we serve a recurring need that generates repeat visits from our retained guests. We already deliver an unparalleled guest experience with strong and consistent core guest retention. But we need to be better at acquiring new guests and driving frequency from our non-core guests. To accomplish this we need to elevate our technology foundation, guest engagement strategies and brand messaging. This work was kicked off under David Berg's leadership and we have made substantial progress over the past several months. We spent the fourth quarter building out the technology needed to link marketing interactions to guest visits and better measure our advertising effectiveness. As a result, we have significantly improved both our access to information and our ability to quickly adjust our engagement strategies based on what we learn. With our initial foundation in place we're now getting smarter about the messaging that resonates with both new and existing guests. During Q1, we've been actively testing new messages and increasing our ability to directly engage with guests. Our goal is to bring this all together in Q2, aligning our brand voice with test insights and then leveraging our enhanced data foundation and measurement tools to drive traffic to centers. We expect to test, iterate and build upon this foundation over the next 18 months. But we are excited about the potential to begin improving center level economics in the back half of 2025. My next area of focus is to cultivate a more effective service-based infrastructure at the corporate level to help our franchisees navigate challenges, maximize top line growth and be an unequaled employer of choice for highly skilled Wax specialists. Throughout my career, I have worked on both the franchisor and franchisee sides, giving me a unique perspective on what it means to be and support local operators. With the right support structure in place, I believe that operational excellence will continue to be a competitive advantage of European Wax Center, one that translates to an unparalleled guest experience at every visit, higher guest retention and more top line opportunities. I plan to share more in the coming months about how we intend to achieve this including when I present our strategy at our franchisee conference this May. In the meantime, we've launched a focused effort to improve the execution and profitability in our underperforming centers and I've reaffirmed our commitment to providing all franchisees with the support they need to be successful. As for my third focus area, we will implement a more sophisticated development approach focused on thoughtful, profitable expansion. We need to enhance our site selection and market planning capabilities to be the best resource for franchisees. As I mentioned earlier, we have already added internal resources and implemented new processes. And we are partnering closely with franchisees to evaluate future growth plans. Success in this area should enable us to prioritize long-term network health as we thoughtfully pursue our white space for years to come And finally, I've started assembling a team of seasoned leaders who will play key roles in executing these priorities. Earlier today we announced appointments for Tom Kim, as CFO; Katie Mullen, as Chief Commercial Officer; and Chris Andrews, as Chief Information and Digital Officer. Tom is a seasoned financial executive with expertise, driving profitable growth at franchise companies. Katie and Chris bring significant experience, driving marketing and digital transformations that we believe will bolster our infrastructure for future growth. To round out our executive team, we are also in the midst of a search for a Chief Operating Officer to drive operational excellence. I'm confident that we are assembling the right team to position us for long-term success. To summarize, 2025 will be a transitional and pivotal year for European Wax. And while we have a lot of work to do, we are not starting from scratch. We have a solid foundation and a clear direction in place, with profitable long-term growth as our top focus. I am confident that when we execute on our near-term priorities, we will improve 4-wall economics and reignite unit growth by the end of 2026. As we advance along this journey to drive value for franchisees, associates and shareholders, I'm committed to providing regular transparent communication and progress updates. I expect to be able to provide more details on our long-term strategy and tactics on our earnings call in May Before I close, I want to thank our current CFO, Stacie Shirley, who will be leaving European Wax Center next month. She's played an integral role in supporting the brand through several key milestones that have laid the foundation for our path forward. I appreciate her commitment to getting me up to speed since I joined in addition to staying with us through the end of April to ensure a smooth transition. I wish Stacie all the best in her future endeavors. So with that Stacie, will review our fiscal 2024 financial performance and our outlook for 2025.
Stacie Shirley: Thank you, Chris. It has been a pleasure serving as European Wax Center, CFO. This is a special brand with a strong model and plenty of white space ahead, and look forward to working with Tom to ensure a smooth transition. Before I begin, I'd like to remind everyone that fiscal 2023 contained a 53rd week. Therefore, some of my remarks today will focus on the fourth quarter and fiscal year 2024 versus the comparable 13-week or 52-week period in fiscal 2023. Now to our results. During the fourth quarter, our franchisees opened three net new centers, comprised of 10 gross openings and seven closures. From a financial standpoint, we delivered solid results, largely in line with our expectations, thanks both to our core guests who remain stable and committed to their waxing routines as well as a strong semiannual Wax Pass promotional period. I want to express our appreciation for the hard-working European Wax Center associates who successfully converted guests into Wax Pass holders in Q4. On a 13-week basis, fourth quarter system-wide sales increased 1.1% to $229.3 million and same-store sales increased 0.8%. Total revenue decreased 4.6% to $49.7 million. While it was within our expectations, revenue has continued to be impacted by softer retail product sales. As we've previously discussed we believe that in a tougher macro environment our guests are prioritizing our services over products with their discretionary dollars. Additionally, we removed a COVID-related surcharge in early 2024 that had previously been a tailwind to wholesale product revenue earned from franchisees. From a profit standpoint, Q4 gross margin improved 190 basis points to 74.3%, primarily due to continued cost savings. As retail products continue to be challenged, the margin rate also benefited from a higher mix of royalty and marketing fees flowing through gross margin at 100%. Fourth quarter SG&A increased 8.2% to $14.8 million, primarily driven by an adjustment to franchise tax expense recognized during the quarter, which was largely offset below the line by a benefit to state tax expense. Q4 advertising expense of $4.3 million was $5 million lower year-over-year. While advertising as a percent of system sales was flat on a full year basis, we allocated more of the spend to the first half of fiscal 2024 compared to 2023. Q4 adjusted EBITDA of $19 million decreased 1.6% and adjusted EBITDA margin increased 390 basis points to 38.1% as higher gross margin and favorable advertising timing more than offset higher SG&A year-over-year. Lastly, we generated an income tax benefit of $1.6 million in Q4 due to lower state income taxes. GAAP net income decreased 13.1% to $3.1 million while adjusted net income increased 37% to $8.1 million. In terms of our full year results, franchisees opened 23 net new centers comprised of 43 gross openings and 20 closures, resulting in 2.2% net unit growth to 1,067 centers across 45 states. On a 52-week basis, system-wide sales increased 1.2% to $951 million and same-store sales increased 0.2%. Top line growth was driven by increased spending by guests at our existing centers as well as new centers opened. Adjusting for the 53rd week, total revenue of $216.9 million was approximately flat to last year. Gross margin of 73.6% continued to benefit from cost savings and full year SG&A decreased 1.3% to $58.7 million, primarily due to one less week in fiscal 2024. Adjusted EBITDA of $75.5 million decreased 0.7% from fiscal 2023 but beat our revised outlook, largely due to lower incentive compensation and lower than expected costs related to our laser hair removal pilot. Improved gross margin contributed to a 40 basis point increase in adjusted EBITDA margin year-over-year to 34.8%. Higher interest income benefited full year net interest expense, which decreased to $25.5 million from $26.7 million the previous year. Lastly, adjusted net income increased 15.2% to $25.6 million due to a combination of higher operating income and lower state income taxes. Also, as a housekeeping item, as of March 5, 2025, there were 43.3 million Class A common shares outstanding and 19.4 million potentially dilutive shares related to Class B shares and outstanding equity awards. Turning now to the balance sheet. Our $40 million revolver remains fully undrawn and we ended the quarter with $49.7 million in cash and $390 million outstanding under our senior secured notes. Our net leverage ratio at the end of fiscal 2024 was 4.5 times. Excluding the $40.1 million in stock buybacks we executed during the year, net leverage would have been under four times. As of fiscal year-end, we had approximately $10 million remaining under our current $50 million share repurchase authorization. Net cash provided by operating activities was $56.5 million in fiscal 2024 compared to less than $0.5 million in investing outflows, a staple of our asset-light capital-light model that continues to generate strong free cash flow even in a challenging environment. Turning now to our outlook for 2025. As Chris mentioned, we expect fiscal 2025 to be a transitional year for us as we solidify the foundation for returning European Wax Center to sustainable growth. Touching first on our unit expectations for the year. As Chris said, we expect 10 to 12 gross openings and 40 to 60 center closures or 28 to 50 net center closures. To date franchisees have opened two and closed five centers and we currently expect six to seven net center closures in Q1. As Chris discussed in his remarks, we've made a lot of progress assessing network health in recent months and we are actively working through potential closures with franchisees. We expect to be able to refine our fiscal 2025 closure estimate and provide more clarity as we move through the year. From a top line standpoint, we expect system-wide sales between $940 million and $960 million, representing approximately flat year-over-year growth at the midpoint. Including the impact of expected net center closures same-store sales is expected to be flat to positive 2%, and we estimate total revenue between $210 million and $214 million. Given current business and retail product trends, we expect revenue as a percent of system-wide sales to be approximately 22.3% in fiscal 2025. The high end of our outlook assumes that our guest engagement efforts begin to drive traffic more significantly during the second half of fiscal 2025 with trends improving as we move through the balance of the year. On the other hand, the low end of our outlook assumes that we will make progress against our strategic priorities but that those actions do not begin to meaningfully drive the top line until 2026. The low end, therefore, assumes that our mature centers continue to experience modest transaction declines this year as we work to enhance our capabilities to reignite long-term growth. In terms of cadence, we expect the seasonality of system-wide sales to be about the same as in fiscal 2024 with two caveats. First, that Q1 will have one additional sales day compared to last year due to the Easter calendar shift. And second that the high end of our outlook assumes more top line benefit in the back half of the year. Moving to the bottom line. We expect modest gross margin expansion to approximately 74% for the full year. However, our adjusted EBITDA outlook of $69 million to $71 million reflects headwinds from first, the impact of slightly lower revenue primarily related to retail product trends, normalized incentive compensation expense, which was a tailwind in fiscal 2024 and increased payroll expenses for personnel to help us achieve our strategic goals. We expect adjusted net income between $16 million and $18 million, which reflects an effective tax rate of approximately 23% before discrete items. Finally, we estimate our investments in marketing and technology will result in capital expenditures of $9 million to $11 million in 2025, of which approximately $6 million is expected to be non-cash. We believe these investments will support our efforts to engage guests and drive traffic in fiscal 2025 and beyond. Before we open the call for questions, I'd like to turn the call back to Chris for final remarks.
Chris Morris: Okay. Thank you Stacie. Ultimately we are looking at 2025 as an opportunity to refine the foundation of this business to support profitable long-term growth. With the help of our engaged and committed franchisee partners, we've identified the marketing, infrastructure and development priorities that we believe are critical to reaccelerating our performance. We are united in our belief that our challenges are not insurmountable, and our ability to capture our long-term potential in the highly fragmented hair removal industry remains in our control. We look forward to updating you on our progress, as we take European Wax Center to this next phase of growth. Operator, we will now take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Randal Konik with Jefferies. Your line is now open.
Q – Randal Konik: Yes. Thanks a lot. Chris, when you think about the store closure guidance for 2025, when you've assessed that, is that kind of the bottom of the closures? Are we going to get -- like meaning, in 2025 when we're going to see net closures, should we see net openings in 2026? I'm just trying to get an assessment of where you think we are with the real estate closure time line. And then, you talked about in some of your remarks there were some franchisees consolidating some centers in same markets. Are there any kind of common threads with the stores or regions that are closing or the markets that are kind of closing stores would be very helpful. And then lastly, any kind of update on performance in California versus the balance of the chain would be super helpful. Thanks.
Chris Morris: Okay. All right. Randy, thanks. There's all great questions. So, a lot to unpack there. Starting with closures. So here's, what I'll tell you is like number one, keep in mind, I've been here 60 days. So my very first priority was getting our arms around the health of the system, partnering with our franchisees to really understand kind of the status of our overall performance. I feel very comfortable with the range that we provided. I can tell you that we've got an enormous amount of effort and energy going into working directly, with our franchisees to manage through this. So we can -- we're doing our best to manage us to be at the low end of the range, as opposed to the high end of the range. But with all that said, we feel very comfortable with the range of 40 to 60. We spent a lot of time to assess where we are and that's the number that we feel comfortable managing to this year. In terms of 2026, and where we go from here, it really gets down to the things that we're focused on our priorities. And we believe, when we execute those priorities, that we're going to be in the best possible position to return to growth in 2026. So that's everything we're doing and all the conversations we're having, is to get the business back to unit count growth in 2026. Just given the time line and where things stand, you should think of that growth as being towards the end of 2026, not the beginning of 2026. There's just simply too long of a lead time to manage the business in any other capacity. So, the underlying assumptions there are, that we deliver on the items that I outlined on the call, the company performs at a level that's within our guidance. And if we do those things, that's what we expect the outcome to be. I think, as we look through -- as we think about growth, I think the important thing to understand is this brand is not broken by any stretch of the imagination. I'm here because I believe in our future. I'm excited that our franchisees also believe in our future, but we have work to do. And 2025 is a reset year, where we've got to shore up the business. We need to put the right infrastructure in place to be able to manage the business. And when we do that, we still believe there is ample white space left in this brand. But it's going to be smart, thoughtful, growth from this point forward. So, that's how we're thinking about those. Trying to think through the other two questions that you had. So, common thread. So, really there's no -- I wouldn't say, that there's one single common thread that links all the closures together. It's just a variety of different things. It's a combination of margin performance. It's a combination of franchisee, their own set of unique challenges. It's -- in some cases, these closures are done deliberately. So, franchisees are just optimizing their own portfolio. So, it's just a variety of different things. And then your last question with respect to California performance. Look, what I'll tell you there is California, there has been more inflationary pressure in California than other parts of the country and the franchisees are feeling that pressure. And so the work that we're doing on marketing and building out the right marketing engine to be able to very skillfully target our guests. And then more importantly, the work we're doing with our franchisees to improve our execution when all that comes together, we believe we're going to be in a much better position and our franchisees will be in a much better position in California to navigate the ongoing pressures on the bottom line. But the pressure is still there in California. That hasn't gone away, it's still there.
Stacie Shirley: Yes, I would just -- this is Stacie, I would just add on that. It's really not the top line necessarily in California what we had seen a couple of years ago. It is the inflationary issues that Chris spoke of that has made that profitability, the four-wall economics much more pressured and we've seen that soften. So, if you look at --if there's any underlying theme geography-wise, there is a higher proportion of closure in California, but it's not because necessarily the top line they're seeing the same thing as other centers.
Randal Konik: Very helpful color. Thanks guys. Really appreciate it.
Chris Morris: Yes, thank you, Randy.
Operator: Our next question comes from the line of Scot Ciccarelli with Truist. Your line is now open.
Scot Ciccarelli: Good morning guys. Scot Ciccarelli. So, you did make multiple references to wanting to improve four-wall economics, obviously, that makes sense. But can you provide us a snapshot of where the four-wall economics exist today and kind of how you envision it advancing as you make progress on the turnaround? And then secondly, can you provide some more color around the tax impact in SG&A and the offset on the other income line? I just didn't -- I don't think I fully got that. Thanks.
Chris Morris: Sure. Scott I'll take that first part and then I'll leave it to Stacie to take the second part. With respect to unit economics, what I'll tell you is that we still have very strong unit economics in this business. Our mature units still have AUVs that are north of $1 million and still get great cash-on-cash returns on those mature units right around 40%. So, it's still -- the fundamentals of this business are still very strong. With respect to the rest of the portfolio and the things that we're focused on, I really believe -- well number one, I'll have to say I have tremendous respect for the previous management team. And we are the leader we are today because of the work, the great work that was done before I step foot in this building 60 days ago. So, the previous management team has done a phenomenal job managing this business. What I can tell you is with the benefit of hindsight when I look at kind of where we are, one of the things that is very clear that we missed in our growth is just building the analytical rigor to be able to work directly with our operators to manage the business like a blocking and tackling of the business. I think we were so focused on growth and getting unit expansion that we didn't put the right infrastructure in place to identify where the opportunities were to be able to work -- give the operators the tools they need to be able to manage that business, monitor our performance, share best practices, and ultimately, execute at a high level. And so that is the work. We're putting that infrastructure in place today. The first step in that is the executive team that we just hired and all the great investment that we're making in just building out a data analytics platform. And so while our unit economics are very strong for our mature units, our plan is to continue to -- with the sharp focus and partnership with our franchisees to improve our overall profitability. So, our plan is to improve where we are today and we're already starting from a really strong place. So, Stacie do you want to take the next part?
Stacie Shirley: Scot, good morning. There was an adjustment to SG&A related to franchise taxes which is above the line. That was largely offset by state taxes that is below the line. The net impact was around $60,000, but that's kind of what happened. It is just a normal due course of reconciliation going through our fiscal year-end that resulted in those adjustments.
Scot Ciccarelli: Okay. Thank you very much.
Chris Morris: Thank you.
Stacie Shirley: Thank you.
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisory Group. Your line is now open.
Dana Telsey: Hi. Good morning everyone. Chris, as you think about the franchisee bench, what are you seeing that makes a successful franchisee versus not? And with the closings that you're having, last time it was mentioned that perhaps European Wax buys some of those stores. Do you have any inclination to do that? And does the franchisee economic agreement need to be retooled in light of what's happening? And then, just lastly, any other regional trends to call out? Thank you.
Chris Morris: Okay. Thank you, Dana, all great questions. So starting with -- the first thing I'll tell you, is I'm very pleased with the quality of franchisees that we have in the system. We've got people -- we've got a large group of people who are very passionate about what we do, committed to the brand and the work that's in front of us. And all of my conversations have gone very well. I think, we as a franchisor, where we can improve in our partnership is just doing a better job with, as I mentioned earlier with the analytical rigor and developing the tools necessary to help coach the franchisees on where the opportunities are. In terms of what it takes to be successful, it's -- we need people -- yeah, I guess, it takes someone who is very committed to the service that we offer, it kind of starts there. It starts with the feeling that our guest has when they leave our facility and finding somebody who is incredibly passionate and committed to being in a service-oriented business that is all around a mission of improving one self-worth. And so it's -- everything that we do has to start there. And so I would say that's number one, is you have to have a genuine connection to fulfilling our brand promise and a genuine desire to serve. And the good news is I believe, we have that in large part. Secondly is this business, it's all about the details. And while on the surface it seems easy, when you get in and you start executing the details can be complicated. And so it takes someone who is committed to managing those details on things like labor scheduling and recruiting and staffing, and hiring the right people. And so -- and being able to manage those details you need the right tools. And so it's developing those right tools is where that partnership really pays off, the partnership between the franchisee and the franchisor. So I'm not looking at this as we have an opportunity to completely reprioritize what our franchise base. That's not where we are at all. We've got a very strong base of franchisees. Our job is to work directly with them, to identify to build -- put these building blocks in place and to identify where we have the greatest opportunity to grow our business in 2026 and beyond, and to make sure that we're setting ourselves up for success. So that's kind of the area of focus. In terms of us buying markets, what I'll tell you is, we are certainly open to that. And I think it makes a lot of sense for us to not only be a world-class franchisor, but to be a world-class operator. And I think the best way of being a world-class franchisor, is to actually own and operate many centers and develop the skill set that it takes to be able to execute at the highest level. So we're open to it. At some point in time we will do that. What I'll tell you, is now is not the time. That is not what we're focused on. And our team is very much focused on the right sequencing and first things first. And that's exactly what you're seeing us do. The first step is to get our arms around the health of the portfolio. The second step is to partner directly with our franchisees, to manage through that at the highest level. The third step is, to redesign our entire approach to real estate site selection and partner with our franchisees on returning to growth in a very high-quality way. That's what we're focused on. That's what we're going to be executing. And I believe strongly that when we do that, and we do it well, that that will naturally open the door for those types of opportunities. But that is not something that is a priority for us at this point in time. We just have too many other things that we need to do. So we'll be working closely with our franchisees to if there's a franchisee who is wanting to transact we will be partnering that franchisee with other franchisees. That's going to be where we focus now. And then what was the last question, Bethany? Bethany is doing a great job of keeping track of these questions.
Bethany Johns : She asked do the franchise agreements need to be retooled or think about different support or financial structure?
Chris Morris : Yes. The short answer is no, not at this point in time. But again, keep in mind, I'm here 60 days. So I've learned a lot in the last 60 days. I'm going to learn a lot more as we move forward. We're going to be onboarding some very high-quality executives. And so at this point in time, I don't see us making those changes, but there's still a lot to learn as we move forward.
Dana Telsey : Thank you.
Bethany Johns : Thank you.
Operator: Our next question comes from the line of Jonathan Komp with Baird. Your line is now open.
Jonathan Komp : Yes. Hi. Good morning. I want to follow-up. Could you maybe comment on the state of the pipeline of unopened units and whether or not you've seen any falling out there? And maybe just bigger picture, what gives you comfort that you're not seeing a broader external shift in terms of consumer behavior or the competitive environment that's causing some of the pressure on unit economics here?
Chris Morris: Yes, John. So I'm going to go in reverse order. So it's the same thing you've heard me say now a few times. Keep in mind, 60 days on the job. So, learning a lot about this brand. I've spent a lot of time partnering directly with our franchisees. They have the history. And so it's been a tremendous opportunity for me to learn kind of their view on where things are and where we've been. I also spent a lot of time with our Board spent time with various members of our management team. And I think what I'll tell you is the consumer, obviously, there's a lot of uncertainty out in the macro environment. And it would be a mistake to ignore that. So the consumer environment over the past couple of years has been complex and that has certainly not made it easy on us. So we do feel like that there has been some headwinds just created from a very challenging consumer environment. The competitive market, it's kind of hit or miss. It's really market by market. I think it depends on your point of reference. If you were to compare where we are now in the competitive landscape to where we were when the brand started 20 years ago, clearly, there's more competition. Over the last five years, I wouldn't say that there has been a material shift in the competitive landscape. I think the fact that we are 11 times larger than our next closest competitor, we have so much scale and the investments that we're making in this business we believe strongly that that's just going to continue to give us a competitive point of difference. And so I don't really see the competitive landscape as being a significant threat as we move forward. I think we've got a lot of defense mechanisms that's going to allow us to out-execute. And I don't see it growing significantly where it's something that we need to be concerned about. In terms of the pipeline we have 10 to 12 new unit openings. Thus nothing has changed in my last 60 days. We've looked at those. We spent a lot of time on those 10 to 12 openings and we feel very confident that they're the right openings and the franchisees opening those centers feel very good about it. So there's been no shift there. I think the greatest shift has been as we said in our remarks collectively our franchisees have just because there's been so many moving pieces here over the last couple of years a lot of people have just hit the pause button. And so that's why you see us doing the work that we're doing. I'm very confident that we're on the right path and we're going to put ourselves in a position to return to growth thoughtful growth successful growth in 2026 and beyond.
Jonathan Komp: That's helpful. And just to clarify, Chris, I think in the past, there was a disclosure something like 370 licenses in the pipeline. Is that number changed significantly? Or is that still an opportunity longer-term after the pause here to resume openings of that pipeline?
Chris Morris: So that has not changed. Those numbers are still valid. What we're doing and, again, you have my commitment that as we move forward, we move forward in a very transparent way. And so our next call will be in May, and I'll be able to provide significantly more detail with how we're thinking about our long-term growth plans. So the number of licenses that's still out there. What's different is the work we're doing now is we are really starting to dig into our real estate site selection model. So when we return to growth, we can return to growth in a very smart thoughtful way. And what I mean by that is, I believe, again, with the benefit of hindsight here, I believe what has happened over the last few years is we had MUD agreements in place all over the country. And our development team was working closely with our operators in order to get the units open to comply with the MUDs. And so it was more of a bottoms-up approach and it was very much on delivering on the time line of the MUD agreements. What the shift that we are making is taking more of a top-down approach. And so looking at the entire universe of market opportunities across the country, identifying the markets where we have the greatest chance to be successful and then we're aligning with the right franchisees to capture that growth. And so as we go through that exercise we will be in a better position to reevaluate our MUD agreements. So I believe that that's the right approach. It's a strategic approach. I think it's going to be the best way, I know it's the best way to return to year in and year out growth as we move forward. So more to come in May.
Jonathan Komp: Great. Thanks again.
Chris Morris: Yeah. Thank you.
Operator: Our next question comes from the line of Korinne Wolfmeyer with Piper Sandler. Your line is open.
Unidentified Analyst: This is Sarah on for Korinne. Just wondering how you're thinking about promo strategy and price? And then what are the areas of opportunity that you see here? And then also at what point would you implement system-wide versus keeping these things more optional for the franchisee?
Chris Morris: So there's a lot of work going into our entire marketing approach. And so that work was kicked off before I got here. And I'm very pleased with the quality of work that's been done to date. With Katie Mullen coming on to our team, we are so blessed to have someone join our team that is as capable as Katie Mullen. She's absolutely outstanding. And so she is going to just do a phenomenal job of building out the capabilities to be highly effective with our promotional offers. So where we are is we've improved our data pipeline, so we have a much better ability to be able to evaluate the effectiveness of what we're doing. We've improved our ability to buy media. And so we're far more efficient in our media buying today than we were just a few months ago, which means that we'll get more out of the dollars that we're spending. And we're in the process of testing. We have a number of different tests that we're doing on the creative messaging. All of that is just a great backdrop to inform our promotional strategy going forward. So really not a whole lot to report right now. As we move throughout the year, you'll get a lot more details from us. All I can tell you is that the infrastructure that we're putting in place around that is very good and is going to put us in the best possible position to grow from here and to learn from what we're doing. On price, obviously, our franchisees control pricing decisions. But what I can tell you is, we do not have throughout the network, we do not have a sophisticated approach to pricing. And so that is something that we are working on at this very moment with our franchisees is to develop the capabilities to be smarter about how we price how they price. So that work is being done. That's the foundational work that I referenced in my prepared remarks and that's exactly the things that we'll be doing this year to position us for growth. So that's where we are. Thank you.
Operator: Thank you. Our next question comes from the line of Simeon Gutman with Morgan Stanley. Your line is now open.
Lauren Ng: Hi. This is Lauren on for Simeon. Good morning. Our question first is on the core guest. Could you give more color on maybe how that core guest at European is behaving and maybe how European is thinking about the core guest in '25 if the macro becomes weaker? And a follow-up question is on the cost savings. Could you give more color on what these cost savings were specifically and if we should expect to continue these in '25? Thank you.
Stacie Shirley: Good morning. So let me start with the cost savings. It's really just as we look at from a cost of goods sold, we've continued to have some great success in negotiating cost savings as it relates to some of the product that we're buying. As far as gross margin and expectations for 2025, we said that we expect to be somewhere around 74%, so modest improvement on a gross margin perspective. And from a core guest, I would say that, as we talked about that which that core guest for us we define that as our Wax Pass guests, as well as our routine guests. But that's been really stable through all of these cycles. And so we haven't seen really any changes in their behavior as it relates to their amount of spend, as well as the frequency of their visits in 2024. So that's what gives us a lot of confidence as it relates to how that guest is actually continues to be incredibly loyal. And really where the opportunity for us is reengaging lapsed guests, as well as new guests, so that we can then bring them into the centers into EWC and convert them into those core guests.
Lauren Ng: Great. Thank you.
Stacie Shirley: Thank you.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to hand the call back over to Chris Morris for closing remarks.
Chris Morris: Okay. Thank you operator and thank you everyone who participated in the call today. We continue to be excited about our future. This is a reset year, a year that we're very focused on building the right foundation building blocks, partnering with our great franchisees and then returning the business back to growth in 2026. So, we are excited about the opportunity to continue to give you progress updates as we move forward. Have a great day and look forward to continuing the dialogue as we move forward. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.